Operator: Good morning, and welcome to Dover's Fourth Quarter and Full Year 2024 Earnings Conference Call. Speaking today are Richard Tobin, President and Chief Executive Officer; Brad Cerepak, Senior Vice President and Chief Financial Officer and Jack Dickens, Senior Director, Investor Relations. Also present today is Chris Woenker, Dover’s Segment and Chief Financial Officer who will succeed Mr. Cerepak upon his retirement at the end of the month. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, ladies and gentlemen, this conference call is being recorded and your participation implies consent to our recording of this call. If you do not agree with these terms, please disconnect at this time. Thank you. And I would now like to turn the call over to Mr. Jack Dickens. Please go ahead, sir.
Jack Dickens: Thank you, Margo. Good morning, everyone, and thank you for joining our call. An audio version of the call will be available on our website through February 20th, and a replay link of the webcast will be archived for 90 days. Our comments today will include forward-looking statements based on current expectations. Actual results and events could differ from those statements due to a number of risks and uncertainties, which are discussed in our SEC filings. We assume no obligation to update our forward-looking statements. With that, I will turn the call over to Rich.
Richard Tobin: Thanks, Jack. Good morning, everyone. Let's start on Page 3. Overall, we are encouraged by the fourth quarter. Top line performance was broad-based with four out of five segments posting positive organic growth unsold underlying demand across the portfolio. Bookings were up 7% organically in the quarter driven by robust order rates and our secular growth exposed markets as well as positive inflection and several end markets that have tough comps during the year. Our bookings strength validates our previous demand outlook for 2025. Segment margin performance for the quarter was solid at 22.2%, up 60 basis points over the prior year. We are quite encouraged by the product mix impact and prior period fixed cost restructuring on segment margins during the quarter. We expect this to be a precursor of the strong incremental margin performance that we expect in 2025. Excluding the $0.25 of tax reorganization benefit to our effective tax rate in fourth quarter of the prior year Q4 adjusted EPS grew 14% in the quarter and was up 8% for the full year. Our operational results were complemented by our ongoing portfolio actions. We recently closed two bolt on acquisitions within our high priority pumps and process solutions segment and our acquisition pipeline remains robust. We ended the year with a significant cash position that provides us flexibility as we pursue value creating capital deployment to further expand our businesses in high growth, high margin priority platforms through organic investment and acquisitions. We are optimistic about 2025. Underlying demand strength has continued across the portfolio into January. We have significant runway for margin improvement through organic growth, positive mix benefits and numerous cost and performance levers. We have high confidence in Dover's attractive end market exposures, flexible business model and proven execution playbook. With this backdrop, we are poised to deliver double digit EPS growth in 2025 through a combination of accretive top line growth, margin improvement and value creating capital allocation. Let's skip to slide 5. Engineered Products was up 2% organically in the quarter on volume growth in vehicle service and fluid dispensing. Aerospace and defense was lower in the period due to shipment timing but still posted a record year on growing global demand for signal intelligence and electronic warfare solutions. Clean Energy & Fueling was up 8% organically in the quarter led by robust order rates and shipments within cryogenic and clean energy components as well as solid volume growth in retail fueling equipment. Our North American above ground fueling business is methodically building back the volumes from peak EMV cycle from several years ago. Importantly, there was notable growth inflection in mix, accretive vehicle wash and below ground retail fueling in the quarter which had faced tough market conditions over the last two years. Margin was up 200 basis points in the quarter on positive volume leverage, attractive mix and operational execution. We expect these trends to continue to drive margins higher in 2025. Imaging & Identification posted another solid quarter with growth in core marketing, coating, printers, consumable services and aftermarket parts. Margin performance was robust as management actions on cost to serve and structural cost controls continued to drive incremental margins higher. Pumps & Process Solutions was up 3% organically on robust shipments in single use biopharma components and thermal connectors, both of which posted year-over-year bookings growth in excess of 100% in the quarter. Precision components and industrial pumps had solid results as well as forecasted. The long cycle polymer processing equipment was down year-over-year in the period but was flat sequentially. Segment revenue mix drove 230 basis points of margin improvement on excellent production performance on volume growth in biopharma and thermal and margin mix benefits from the FW Murphy acquisition. Revenue was down in the quarter in climate sustainability technologies and expected declines in European heat exchanges and beverage making can making equipment which more than offset the record quarterly volume in U.S. CO2 refrigeration systems and growth in heat exchangers in the U.S. and Asia. Our shipments of heat exchangers for heat pumps in Europe did improve sequentially in the quarter, a trend we expect to accelerate in the back half of 2025 as the end market recovers. Organic bookings were up 16% in the quarter with positive booking momentum across each operating business with particular strength in CO2 systems. I'll pass it to Brad here.
Brad Cerepak: Thanks Rich. Good morning everyone. Let's go to our cash flow statement on slide 6. Adjusting for taxes paid on the gains on dispositions which are non-operational in nature, our free cash flow was $429 million in the quarter or 22% of revenue. Our fourth quarter was our highest cash flow quarter of the year in line with historical trends. We are pleased with our full year adjusted free cash flow generation which came in at 13.5% of revenue within our guidance range despite carrying large accounts receivable balances at the year end. That will be a credit to early 2025 cash generation. Our guidance for 2025 free cash flow is 14% to 16% of revenue on strong conversion of operating cash flow. We are forecasting slightly higher CapEx in 2025 on several growth investments. With that, I'll turn it back to Rich.
Richard Tobin: Thanks. I'm on slide 7. Here we provide a little more detail on the bookings momentum in the fourth quarter. Q4 marked our fifth consecutive quarter of positive year-over-year bookings growth posting a book-to-bill above one. As shown in the segment detail on the right, the bookings rates were broad based with particular strength in our secular growth exposed markets, providing a strong foundation as we move into 2025. Slide 8 highlights several end markets that were driving our consolidated organic growth forecast. Between end market data, our customer forecasts and our own booking rates, we are encouraged with the outlook in the broader industrial gas complex within Clean Energy & Precision Components, single use biopharma components, CO2 refrigeration systems and inputs into liquid cooling applications of data centers which include our connectors as well as heat exchangers. We have made significant organic and inorganic investment behind these end markets which will continue to prioritize into 2025. In aggregate, these markets now account for 20% of our portfolio and drive attractive margin accretion on expected double digit growth rates. Moving to Slide 9, we expect Engineered Products to grow low single digits organically on sustained strong orders and shipments within aerospace and defense which should be levered to the second half of the year due to the timing of government programs. With the divestitures of De-Sta-Co and Environmental Service Solutions Group in 2024, our Engineered Products segment now accounts for roughly 15% of our total portfolio down from 25% in the prior year. We are optimistic about the growth outlook in Clean Energy & Fueling which should return to positive volume growth due to strength in Clean Energy components, fluid transport and above ground fueling. We expect this segment to be among the leaders in margin accretion in 2025 on volume leverage positive mix from below ground fueling. Additionally, we can expect additional carryover of multiyear restructuring actions and acquisition integration benefits which will primarily accrue in the second half of the year. We expect Imaging ID to continue its long-term steady growth trajectory given its significant reoccurring revenue base and solid demand profile across all geographies. Management has done yeoman's work to improve the margin here through productivity and structural cost controls and we believe there are multiple years ahead of continued margin accretion. Underlying demand trends across Pumps & Process Solutions remain solid. Shipments of single use biopharma components should continue their double digit growth rate driven by production growth in blockbuster drugs and the emergence of novel technologies such as cell and gene therapies and the continued secular shift towards single use manufacturing. The outlook for thermal connectors for liquid cooling data centers is robust. Our preemptive capacity expansion has allowed us to maintain industry best lead times in what has turned out to be a short cycle business. Our precision components business is directly levered to energy complex investments, so we are quite interested to see how that plays out in 2025. Finally, climate and sustainability technology should recover well as difficult comps roll off in heat exchangers and beverage can making with the recent launch of our high capacity platform and CO2 refrigeration systems, we have the broadest product offering in the industry. We are currently taking orders well into the second half of 2025 and should continue to grow at double digit rate due to the broad based adoption of among national retailers. Heat Exchanger expected to grow as European heat foam channel inventories have been largely depleted, we are forecasting sustained growth in North American heat exchanger. We have completed a capacity expansion for large format production driven in part by liquid cooling applications in data centers. Our guidance, [ph] let me finish up on slide 10. Our guidance this year is a bit unique since we provided preliminary outlook for 2025 during last quarter's earnings release which we felt was necessary given the significant portfolio moves completed in Q4. Our 2025 guidance is in line that preliminary outlook from a quarter ago in terms of organic revenue and EPS growth with the underlying building blocks intact. There has only been one noteworthy change from last quarter which is heightened foreign exchange translation headwind from the strengthening U.S. dollar. While this incremental headwind which is by no means unique to Dover, we are confident in holding our full year guide due to the positive and broad based bookings momentum we had during the year. So pretty much we're going to eat everything that we saw when we ran from October to January in terms of FX which is not a little bit. We entered 2025 in advantaged cash position. Our preference is to deploy capital towards organic growth investments and our inorganic growth pipeline which has improved in both quantity and quality of opportunities over the last several months. Rest assured we will proceed with the capital discipline that we have demonstrated in the past. Finally, before we move to Q&A, I'd like to take a moment to recognize and congratulate Brad on his retirement. Since joining Dover over 15 years ago, he has been instrumental strategic and financial leader who has helped transform Dover to our current operating structure today. I'm sure Brad couldn't think of a better send off than to spend his last days preparing for this earnings call. On behalf of all of us, thank you and we wish you all the best.
Brad Cerepak: Thank you for that Rich. Much appreciated. It's been absolutely a pleasure to work with you, the entire Dover team, our board and of course the finance organization for so many years. Chris Winkler will take it from here and I wish him the very best. Okay, I think we can go to Q&A here, Jack.
Operator: Thank you. [Operator Instructions] And we'll now take our first question from Steve Tusa with JPMorgan. Please go ahead.
Steve Tusa: Hey, good morning. Brad, congrats and thanks for all the help over the years. You've definitely seen a lot there, a lot of change. So congrats on the run. The slide last quarter talked about 40% conversion and $25 million of restructuring benefits. This slide says 40% plus. Are you still assuming the $25 million of restructuring benefits? I don't know. There's a lot of up arrows on that margin slide. So just maybe help calibrate us a bit on the margin drivers and price cost.
Brad Cerepak: Sure. Like the restructuring benefit hasn't changed. As I mentioned last quarter we've got some more in the pipe and when we do it, we'll give you the roll forward benefit of it which is not embedded into our forecast presently. The balance of it is mix. So if you look at the margin accretion that we saw in Q4, I think it's a pretty good precursor of what we can expect and then we'll see from there. Then it's just a question of kind of the volume that we see. So right now we're going to stick to the 40 I think. I don't see that going up in a percentage basis. It will be more tied to are we underestimating the revenue growth potential in the 2025? Bookings look great, but let's see, let's get through a quarter or two.
Steve Tusa: Got it. And price cost, what do you guys assume for price on the year and will that spread be positive?
Brad Cerepak: It will be positive. Not a lot either way in terms of benefit, point, point and a half. We'll see. It depends on the mix that we get, but it will be positive.
Steve Tusa: Okay, great. Thanks a lot. Thanks again, Brad. Congrats.
Operator: Thank you. And next we'll take a question from Nigel Coe with Wolfe Research. Please go ahead.
Nigel Coe: Thanks. Good morning, Brad. I'm sure you're going to get a lot of congratulations and all that, but you've been at Dover for a long time. You've been the one sort of constant for the last 15 years. So it's quite a moment here. So congratulations.
Brad Cerepak: Thank you. Thank you so much.
Nigel Coe: No, no, Rich, you mentioned January and whenever you mention sort of current within the current period, it always sparks a bit of attention. I'm just curious if you think that tariffs or the potential for tariffs is causing any sort of unusual behavior around the supply chain that you touch?
Richard Tobin: No, we don't see it. I mean we're generally speaking a proximity manufacturer. So our backlogs are more influenced on the lead times of the individual products which are kind of all over the place between the short cycle and the long cycle. No, we don't see any. Let's get in front of this because we think that there's going to be tariffs. We have a few businesses that are global in nature, but the vast majority of it is proximity.
Nigel Coe: Okay. And then just a quick question on the margin outlook. You mentioned CEF is going to be the margin leader. I'm just curious if we could just maybe just. If I could just ask if the 20% plus handle would be reasonable there, just based on what we saw this quarter. And then similar vein with DPPS, just given the exit rate, would a 30 handle be reasonable for this year?
Richard Tobin: Look, I think that the absolute change in margin we would expect in DCEF, we are driving at the segment level in excess of 20. All right. You may not get it every quarter depending on the cyclicality of it, but clearly at an exit rate in excess of 20 on DPPS, it's all about the mix. So if we're under calling Biopharma and we get better results there, that clearly that will mix up. But, if Precision Components does better, it's a little bit dilutive, but it's still at 25% margin so we'll take it all day long. So it's more a question of what we get in terms of mix going from here.
Nigel Coe: Okay, fair enough. Thanks, Rich.
Richard Tobin: Thanks.
Operator: Thank you. We'll next go to Andy Kaplowitz with Citigroup. Please go ahead.
Andy Kaplowitz: Good morning everyone.
Brad Cerepak: Hi Andy.
Andy Kaplowitz: Brad, thanks for all your help. Congrats.
Brad Cerepak: Thank you.
Andy Kaplowitz: Rich. Thank you. Book-to-bill over one again in Q4. Are you thinking 2025 is another year where all or most of your quarters could achieve book-to-bill out or over one? And I know you're expecting an inflection in CO2 orders. It looks like you got that. And you mentioned the double digit expected growth in that business is expected to continue. But given recovery in other DCST businesses, at least in terms of orders, it seems like you expect DCST bookings momentum to continue. Maybe you can comment on that specifically.
Richard Tobin: Yes, I mean I would expect based on our growth rate, we'll hover around one. I mean, I don't think we get all excited if it's 0.981 quarter but we should hover around 1 for the year and then we'll make a call on Q4 as we exit. Yes, I mean, we did get some bookings in Q4 in CO2 systems. We've got a lot coming our way, so I would expect bookings to look good there. Coupled with the fact maybe not in Q1, but as we go into Q2, we'll inflect positive bookings in Heat Exchanger. So that will help in terms of effect.
Andy Kaplowitz: Got it. And then can you give us a little more color into how you think about earnings cadence through the year? It seems like we start out pretty slowly in terms of organic growth in Q1 given DCST and DP could start slowly in terms of growth, but more color on Q1 and the trajectory for the rest of the year would be helpful.
Richard Tobin: Yes, I mean, it'll go back to, now that we're beyond kind of all the COVID stuff and we'll go back to, we'll start off a little slowly. We'll probably build a bunch of inventory in Q1 that will recognize those revenues in Q2 and Q3. And then Q4, like every other year, we'll decide on the outlook of 2025, how we run production, but we'll make those decisions in the August, September timeframe. So, yes, I mean, I think that. I think quarter to quarter will look okay, but I mean, it will be a ramp into Q2 and Q3.
Andy Kaplowitz: Appreciate the color. Thanks.
Operator: Thank you. And we're next going to take our next question from Joe Richie with Goldman Sachs. Please go ahead.
Joe Ritchie: Hey, guys, good morning. And Brad, thanks so much. Wishing you nothing but the best.
Brad Cerepak: Thank you.
Joe Ritchie: Maybe let's just. I'll just hone my questions in on DCST. Rich, maybe talk a little bit about like what you're seeing in that European heat pump market now expecting, growth in 2025. I think you maybe mentioned inventories have also stabilized there. Just give us some color on what you're seeing there.
Richard Tobin: Well, I mean, the margin performance that you see for us in Q4 is us basically under producing severely. So it was a willful attempt to force inventory clearing out of the channel. But having said that, orders inflected positively, let's not get excited off of some pretty low levels. So I would say that we did our part to allow inventory to clear and just sequentially orders are coming up. It's probably still got a bad comp in Q1, but then from there we would expect to ramp over the balance of the year. What that ramp looks like we're taking our best estimates right now. As you know, getting good data out of out of our own customers has been quite difficult. But we would expect, I think that we've got a prudent outlook for it and hopefully it gets sequentially better over the year. But what we're confident about is we took some direct action to allow inventory to clear in the back half of the year.
Joe Ritchie: Got it. That makes a lot of sense. So as you think about then kind of like the rates starting point for margins for that segment, given that you took that big hit in the fourth quarter, how do you think about then the margin trajectory in 2025? It would seem like you should get some pretty good margin expansion in that business.
Richard Tobin: Yes, I mean once we lap Q1, Q1 is always a little bit messy because in traditional refrigeration equipment it's not a heavy shipment. We tend to build inventory there as opposed to shipping it. And as I said, SWEP on heat exchangers has probably got a tough comp there. Having said all that that we were very pleased with the margin that we got, the exit margin that we got of refrigeration. So that's what we're booking in for the balance of the year. And to the extent we under produce so severely in heat exchangers, we have like negative fixed cost absorption there in Q4. We'd expect that to get better over time. So net, net if you just look through the downturn in heat exchangers, with all the progress that we made on refrigeration, we would expect that we would be maybe not at record margins because I'd have to kind of triangulate for Belvac a little bit. But some very good margins in that segment if we were to benchmark it historically.
Joe Ritchie: Great to hear. Thanks guys.
Richard Tobin: Thanks.
Operator: Thank you. Our next question will come from Brett Linzey with Mizuho. Please go ahead.
Brett Linzey: Thanks, good morning and best of luck to Brad.
Brad Cerepak: Thank you.
Brett Linzey: Hey I wanted to come back to the bio orders really strong. I guess any detail in the nature of the applications you're winning? And any concentration, is there 1 to 2 customers? Is it fairly broad-based? And then how should we think about that delivery schedule?
Richard Tobin: It is broad-based. I mean, we cleared inventory in the back half -- or the front half of this year and then you started orders inflected and I think it more or less at the end of second quarter. We don't know a lot in terms of where it ends up because there's a big portion that's sell-through from our clients at the end of the day. But I think I would categorize it as -- we are a supplier to end-use production and that the inventory is cleared out of the system and that those units are operating now, and it's just pull through.
Brett Linzey: It makes sense. And then just a follow-up on the liquid cooling, very strong demand, again, obviously, with everything that's going on. But maybe talk about that specification process with those partners. And how large has the total addressable market for Dover grown over the last couple of years? And where do you think your share of that can run?
Richard Tobin: Well, it's grown significantly because it was a traditional product of ours that have been supplied into supercomputing applications. What the TAM is, is anybody's guess right now. If you go back and look at the transcript, I think that we made the right decision in terms of having the product available, and we made the right decision to build out the capacity in advance of the demand because it has turned out what I would have thought to be a business that would have because of the build-out time for these data centers that you would know when the orders are coming. It's turned out to be a very short cycle business for us. So the data that we get on where the product is going, is almost at the last minute. Now we've been a market share winner here because we've got the capacity installed to the detriment of some of the working capital, I would say, in the fourth quarter of this year, but I can't even give you TAM numbers, quite frankly. I don't think anybody knows. We'll see how it plays out. But right now, super proud of the management team in terms of how they've managed an incredibly complex situation.
Brett Linzey: Appreciate the detail.
Operator: Thank you. Our next question comes from Michael Halloran with Baird. Please go ahead.
Michael Halloran: Hey good morning everyone. And congrats, Brad.
Brad Cerepak: Thank you.
Michael Halloran: So just another high-level question here. Just to make sure I understand the cadence through the year. And in answer to the earlier question, the thought process then if I think about typical earnings by quarter, relatively normal or a little subdued in the first and then build it up in the back. But then related, are you basically assuming the underlying demand dynamics are relatively stable with current levels, not improving, not getting worse, but relatively stable in normal sequentials? Is that the thought process?
Richard Tobin: Yes. I think the sequential should be relatively stable and typically from a calendarization point of view. So there's nothing -- and the mix benefit should be relatively stable. But when we're talking about the incremental growth on the roll forward, then you're going to get the most of the growth in Q2 and Q3. So it doesn't leg down and then leg up. It kind of just sequentially rolls forward, the mix impact on the business should be relatively stable right? Because that's -- if you look at the order rates, that's what we're going to be shipping out of. And then the growth that we're getting, which we'll be producing in Q1 will be shipped out in Q2 and Q3. That's our estimates right now.
Michael Halloran: Yes. That makes sense. And then just an update on the M&A side. Any change to what you're seeing from a backdrop, actionability and the amount of content that might be in the market at some point?
Richard Tobin: Yes, lots of stuff coming. We're really interested to see what the spirits are out there and what -- we'd like to see a couple of transactions to get done. There's quite a few in the pipe to see at what -- how aggressive everybody is going to be at valuation. But those are the ones everybody knows about. We've also got a handful of very interesting proprietary deals that we're working on. So we'll see. I mean we're very popular in multi-industrial world because of all the cash that we're sitting on. So we're seeing a lot time will tell about what multiples look like when we see a couple of transactions.
Brad Cerepak: Yes. And keep in mind that that cash on the balance sheet right now is not deployed in our forecast. It's generating nice interest income, so it doesn't earn a hole in our pocket, so to speak. And when you think about your models, just keep in mind that we're sticking to our year-over-year concept around interest income until we deploy that capital. And then you'll see a shift between the interest line and the segment performance line as we do deal flow.
Michael Halloran: Thanks guys.
Brad Cerepak: Thanks.
Operator: We'll take our next question from Julian Mitchell with Barclays. Please go ahead.
Julian Mitchell: Thanks, good morning and Brad, thanks for all the help. If we think about just the segment level, I wanted to start with clean energy and fueling -- it seemed like you did see some very encouraging signs exiting the year in below ground and vehicle wash. And as we're thinking about the 2025 guidance, maybe help us understand kind of how much of the business now are you going to sort of come together fairly regrowth there differ this year versus the more traditional parts of DCEF.
Richard Tobin: Okay. I'm going to have to go back and look, but I would think in terms of absolute profit, it is the largest contributor year-over-year, that segment. And that's a combination of restructuring benefits, growth mix on growth and acquisitions that we had done in the prior period that actually calendarized at 12 months. Breaking it into pieces, I think that we'll let Jack take you through it, but we had -- in terms of the cryogenic component exposure, we are significantly larger than our nearest competitor.
Julian Mitchell: That's helpful, thank you. And then secondly, on engineered products, there's been a lot of change in the business mix there. Aerospace and Defense, a big old -- waiting now within DEP. And maybe remind us of kind of the main exposures there because it looks like the volumes there were down in the fourth quarter but should grow this year as a whole in DEP. Maybe kind of remind us sort of what's moving around in that? And what's the visibility on that second half improvement in the A&D shipments?
Richard Tobin: The comp was bad in Q4, and that drove the commentary, which is timing of shipments, which I think that we had some pretty big shipments in Q4 of 2023. Having said that, the business is -- it's big as it's ever been in terms of its absolute size because we've actually been an acquirer in there. In terms of the calendarization, I'd have to go and work with Jack to see what 2025 looks like, but it is posted to grow year-over-year and having a positive margin mix benefit on that growth.
Julian Mitchell: Great. Thank you.
Richard Tobin: Welcome.
Operator: Our next question comes from Jeff Sprague with Vertical Research. Please go ahead.
Jeffrey Sprague: Hey thanks, good morning everyone. Congrats, Brad admit, but we go back American Standard, Honeywell Allied.
Brad Cerepak: I know, a lot of years, Jeff.
Jeffrey Sprague: Most the high school. Maybe a CFO question to start. Just on kind of interest income for that color. I assume rates are a little bit more favorable on sitting on cash than maybe you thought if you were thinking about the Fed maybe address it if that is, in fact, helpful. And then also, I just wanted to clarify, that guide that you're talking about is really only accounting for cash on hand. It doesn't look like you're giving yourself any credit for just a very solid free cash flow generation you're expecting in 2025?
Brad Cerepak: No, I think it's inclusive. But we have uses of that cash flow like we normally do, right? So we'll have to see, it is volatile in the sense of how many rate cuts will there be next year? We model it out. And when I say we're sticking with our year-over-year that we guided back or gave insight into in the third quarter. It is all inclusive for sure. But capital deployment will impact it, Jeff, and there's a lot of variables. So I think at this stage, give us a quarter to sort it out and see how deals actually flow through, and then we'll be able to give you more insight into it.
Jeffrey Sprague: And then Rich, on DII, just maybe a little bit more color there, right? Demand trends are giving us a solid green pie, but we're growing low single digit. I'm guessing it's just sort of the fashion fabric or whatever you call that piece of the business is really still lagging and holding back the base. Is that what's going on? Maybe a little more color there.
Richard Tobin: It's just de minimis in terms of the revenue and earnings at this point. So we're not modeling in any kind of snapback in terms of performance. Credit to the management team, the margin accretion and has even lapped that business declining over the last 3 years through improving the profitability of the core Marketing and Coating business. As I mentioned in my comments, we've got some other efficiency programs, if you will, laid in for 2025 that should help the accretion there. So let's just call it on the textile stuff, the bottoming has taken place, but it's de minimis now in terms of the earnings of the group.
Jeffrey Sprague: So the low single-digit growth just reflects then what's the normalization on the equipment side, after a little bit of a bumpy [indiscernible].
A - Richard Tobin: But this 1 has got a ton of FX in it, and it flops around between equipment and consumables. So we don't get all bent out of shape quarter-to-quarter. We look at this -- this business really on a full year basis. It grows 2% to 4% at the end of the day. So I wouldn't intra-quarter volatility is almost meaningless.
Jeffrey Sprague: Okay. I was talking about the outlook, but -- good to go. I'll leave it there. Thanks a lot.
Operator: Thank you. Our next question will come from Andrew Obin with Bank of America. Please go ahead.
Andrew Obin: Hi guys, good morning. Yes. We'll try and congrats Brad on his retirement. It was a pleasure. Thank you.
Richard Tobin: Still saying we when he answers the question.
Andrew Obin: I know.
Richard Tobin: It's encouraging because...
Andrew Obin: That's good.
Richard Tobin: We're going to be here through capital deployment.
Andrew Obin: I'm binge watching, severance, these days. So just 2025 outlook for growth in vehicle wash is much better than the commentary from peers, and I would also say above ground is turning. Do you think you're gaining share? Or is it a real turn in the market right?
Richard Tobin: Well, I mean, I got to be careful with the peer commentary in vehicle wash because a lot of them own distribution and operate sites. We don't. We're purely equipment manufacturer. I think the commentary around that it’s gotten better, but it's not inflected super better, but even a little bit better on a margin point of view, it's positive. I think the real material inflection that we're seeing there if we take the cryogenic side and put it aside, is the mix impact -- a couple of things. The mix impact below ground, which has been pretty depressed for 2 years or 3 years now, which is highly margin accretive. That's good. A lot of the restructuring we did last year is in this particular segment. So that's where the flow-through comes in, which is good. And then the cryogenic piece, I talked about at length into Q3. That we -- we're going to go through a big integration year here and expect to get the integration benefits of those prior period acquisitions, probably levered towards the second half of this year. So it's got a lot of kind of non-revenue benefit under number one and number two, mix is improving.
Andrew Obin: Excellent, thank you for an extensive answer. And just a simple question for Colder [ph]. Do you think that business can double this year given sort of the underlying growth in liquid cooling?
Richard Tobin: Well, I mean, double relative to what, right? Biopharma.
Andrew Obin: Relative to 2024. No, just sorry, just the liquid cooling part, sorry. Just the data center. Yes, the data center part, sorry.
Richard Tobin: Could it? Yes. We'll see. As I mentioned before, it's just turned out to be such a short-cycle business that we've got -- we get a view of maybe 45 days in terms of the demand cycle. So we'll see. But could it yes.
Andrew Obin: Thank you. It’s good to have happy optimistic reach back. Thank you.
Operator: Our next question comes from Scott Davis with Melius Research. Please go ahead.
Scott Davis: Hey good morning guys. And congrats. I'm sure you're going to miss that flight out on Monday morning or Sunday night or whatever in Chicago, but you spent some frequent or miles our way, I guess, probably have plenty. But anyways, I think you guys have covered most of the turn here. It's been a lot of minutia too. But if we back up a little bit is the refrigeration story just about CO2 in 2025? Or is it really also just about pent-up demand that there was a it's been a pretty long period, I think, of underinvestment from your customers. Is that a correct assessment?
Richard Tobin: I think that's a correct assessment. But recall, we have capped our capacity in that particular segment. So it's more for us margin performance through productivity plus CO2. Okay, so we're not going to chase dilutive growth on the retail refrigeration side. So between CO2 product offering and specialty product offering will take as much as we can get there. On the case business, we'll see. We're in early innings now about the CO2 transformation of whether you can bundle the CO2 system with the case and what does that mean for margins? I think that is something that will unfold during 2025.
Scott Davis: Fair enough. And then just a small question. I guess I've never asked this before, but if you had to split up your CapEx between kind of maintenance and growth, how would you think about what kind of that base level of maintenance CapEx is in the numbers?
Richard Tobin: That’s a good question. We used to give a little pie chart on that. I'm guessing that it's $40 million maintenance, but that does not include IT, and 60% growth. And if I had to carve out IT, I'd have to get back to you, Scott.
Scott Davis: Okay thank you guys. That’s a lot to share.
Richard Tobin: Thanks.
Operator: Thank you. And our last question will come from Deane Dray with RBC Capital Markets. Please go ahead.
Deane Dray: Thank you, good morning everyone. I get to do the last. Congrats to Brad and wish you and family all the best. And I also go way back.
Brad Cerepak: I know we do.
Deane Dray: Maybe we just start, Rich, on the 2 bolt-on deals, how do those come about where do they fit? What's kind of the attraction there? And how much of that pipeline that you're looking at fits that category?
Richard Tobin: They're both proprietary. One is going in pumps and process solutions, and -- both of them are going to yes, all right. And they're both proprietary. One is cryogenics, but it actually ends up in our pumps business. The other business is a product line expansion for plastics and polymers for MAG. And that one, I think we've been working on for 3 years or so.
Deane Dray: All right. Good to hear on that. And then data center came up a whole lot in the Q&A prepared remarks in your slides, my guess is those were already written prior to the Monday sell-off. And Rich, you've already said your short-cycle business, it's 45 days, so you're probably not looking any for out than that. But just in terms of managing this business, do you feel like there's any sea change in terms of data center CapEx. And I know you can't size the TAM, but is the TAM potentially getting smaller and more competition? Just kind of how might the competitive dynamics have changed since Monday?
Richard Tobin: Deane, I don't know. I mean the fact of the matter is in terms of the total TAM, we're rounding error. We think that we've got a very good product that we have IP protected. I think that we were first in line in terms of building out the capacity, and that's pretty much what's driven the volume growth that we've seen. I think we've been pretty prudent in terms of sizing the business. So we're not looking at the billions and billions of dollars, and trying to do the mathematics of gigawatts to connectors. I mean, many have tried, all have failed. So I'm not overly worried about it at the end of the day. I think there's enough kind of shovels in the ground that makes us feel comfortable with our 2025 forecast.
Deane Dray: Thanks a lot. Appreciate that color. Thanks.
Operator: That concludes our question-and-answer period of Dover's Fourth Quarter and Full Year 2024 Earnings Conference Call. You may now disconnect your line at this time, and have a wonderful day.